Operator: Greetings, and welcome to the Energy Transfer's Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Tom Long. Thank you. You may begin.
Thomas E. Long - Energy Transfer Partners LP: Thank you, operator, and good morning, everyone, and welcome to the Energy Transfer third quarter 2016 earnings call. And thank you for joining us today. I will begin today with an overview of our recently announced acquisition of certain interest in PennTex. Then I'll turn our focus to discussions of Energy Transfer Partners third quarter results, followed by a growth project update, a financing and liquidity update, and lastly, a distribution discussion. I'm also joined today by Kelcy Warren, Mackie McCrea, Matt Ramsey, John McReynolds, and other members of our senior management team who are here to help answer your questions after our prepared remarks. As a reminder, we will be making forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. These are based on our beliefs as well as certain assumptions and information currently available to us. I'll also refer to adjusted EBITDA and distributable cash flow or DCF, both of which are non-GAAP financial measures. You'll find a reconciliation of our non-GAAP measures on our website. Starting with our most recent announcement on November 1, ETP closed on its acquisition of certain interest in PennTex Midstream Partners, LP from various parties for total consideration of approximately $640 million in cash and ETP common units. ETP now owns 100% of the general partner of PennTex, together with all of its incentive distribution rights as well as 6.3 million common units and all 20 million subordinated units of PennTex, representing approximately 65% of the total limited partner interest in PennTex. The acquisition consideration paid by ETP was 50% ETP common units issued directly to sellers and 50% cash. The cash portion of the purchase price was funded by a combination of proceeds from common units recently issued under ETP's ATM program and borrowings under its revolving credit facility. Additionally, in conjunction with the transaction, ETE agreed to an IDR waiver in the amount of $33 million annually that will run in perpetuity. PennTex owns midstream assets strategically located in the Terryville Complex in northern Louisiana that consist of a rich natural gas gathering system, two cryogenic natural gas processing plants, along with residue gas and NGL pipelines. PennTex's primary customer is Range Resources Corporation. In addition, two long-term fee-based gathering and processing agreements that include minimum volume commitment, PennTex and Range are parties to, and exclusivity agreement which provides PennTex the right to provide all midstream services to support Range's current and future production on substantially all of its operated acreage within the AMI. We are very excited about this acquisition. As you can see, PennTex's assets complement ETP's existing midstream footprint in the region, and create the potential for growth and value creation. Now let's turn to ETP's third quarter results. Adjusted EBITDA on a consolidated basis totaled $1.39 billion, compared to $1.5 billion for the third quarter of 2015. This decrease was primarily due to reduced earnings of $65 million from our investment in PES, as well as the contribution of the retail assets to SUN in March of 2016. These assets were partially offset by another nice quarter of growth in the liquids segment, as well as solid growth at SXL. DCF attributable to the partners of ETP, as adjusted, totaled $720 million compared to $734 million a year ago, primarily due to the decrease in adjusted EBITDA, which was partially offset by an increase in distributions received from SXL, as well as a decrease in current income tax expense. Now let's go over the individual segment results. Starting with Midstream, adjusted EBITDA was $314 million compared to $315 million for the third quarter of 2015. We experienced lower throughput volumes this quarter, which were partially offset by higher crude oil and NGL prices. Gathered gas volumes totaled 9.7 million MMBtus per day, which is down slightly versus the same period last year, primarily due to volume declines in South Texas as a result of downtime at King Ranch, which is back on line, as well as declines in North Texas and the Mid-Continent and Panhandle regions. These were partially offset by increases from the startup of the Orla processing plant in the Permian Basin, the Ohio River System in the northeast and the acquisition of certain assets from DCP in north Louisiana earlier this year. NGL production increased slightly in the third quarter to 421,000 barrels per day, compared to the third quarter of 2015, as we went into deeper ethane rejection. Equity NGLs increased in the third quarter by 8,000 barrels per day to approximately 34,000 barrels per day. The Permian continues to be the primary focus for our midstream group, where they are spending a significant amount of time and are committed to meeting producers' growing needs. In the Liquids Transportation and Services segment, adjusted EBITDA increased more than 20% to $240 million compared to the same period last year. The increase was due to higher throughput at the Lone Star Fractionators, higher NGL and crude transportation volumes, and increased storage margin. NGL and crude transportation volumes on our wholly-owned and joint venture pipelines increased more than 25% to 647,000 barrels per day due to the increased volumes in all of our supply regions. The commissioning of the Lone Star Express Pipeline during the quarter, as well as the startup of the Nederland to Lake Charles segment of the Bayou Bridge Pipeline, which averaged 69,000 barrels per day during the quarter. Year-over-year, average daily fractionated volumes increased more than 45% to 338,000 barrels per day due to the startup of our third fractionator in Mont Belvieu, which was commissioned in late 2015, as well as increased producer volumes. In our Intrastate segment, adjusted EBITDA increased slightly year-over-year to $133 million due to higher producer services activities, improved results from the storage optimization business, and growing fees related to Mexican exports. Transported Intrastate volumes decreased slightly due to lower production in the Barnett Shale, partially offset by increased volumes to Mexico. We continue to expect volumes to Mexico to grow, particularly with new projects coming online in early 2017, which should result in increased demand for transport services through our existing pipeline network. We do enter the fourth quarter with some nice tailwinds in our Intrastate segment as the West Texas to East Texas basis has widened out and allowed for our pipelines to realize higher daily transportation rates. In our Interstate segment, adjusted EBITDA was $278 million compared to $286 million for the third quarter of 2015. We did see an impact from the contract restructuring on Tiger, as well as lower rates on some of our pipelines due to weak spread, which was partially offset by higher reservation revenues on Transwestern, and higher revenues from park and loan services. Moving to Sunoco Logistics, adjusted EBITDA was $312 million for the third quarter of 2016, an increase of $23 million compared to the third quarter of 2015. This was primarily due to an increase in SXL's NGL pipelines and Marcus Hook and Nederland facilities, and an increase from refined products operations. Moving to the retail results. Due to the transfer of the general partnership interest of SUN from ETP to ETE in 2015 and completion of the dropdown of the remaining retail marketing interest from ETP to SUN in March of 2016, the partnership's retail marketing segment has been deconsolidated. And the segment results now reflect an equity method investment in limited partnership units of Sunoco LP. For purposes of calculating adjusted EBITDA, we report our proportionate share of the Sunoco LP adjusted EBITDA after reducing by the GP IDR cash distribution. For the third quarter of 2016, adjusted EBITDA was $83 million compared to $195 million in the third quarter of 2015, due to the dropdown of ETP's remaining interest in the retail marketing assets to SUN. For the three months ended September 30, 2016, distributions from unconsolidated affiliates reflected the distributions to be received from Sunoco LP for the period, which were $36 million. For the all other segment, adjusted EBITDA was $30 million compared to $93 million a year ago. Results were impacted by lower earnings from our investment in PES of $65 million due to unfavorable crack spreads, as well as lower revenue generating horsepower from our compression business. We have started to see a bit of an improvement in crack spreads since the end of the third quarter. Now, let's move to our growth projects, while I'll provide a brief update. Starting with the Bakken Pipeline Project, Dakota Access pipeline continues to progress and is now 84% complete overall. We reiterate our commitment to protect all cultural resources, along with the environmental and the safety of all those in the area as we move toward the completion of the pipeline. This commitment is evidenced in the route chosen and approved by the U.S. Army Corps of Engineers, which to reiterate for those on the call, is 99.98% on private land, and does not cross any land owned by or under the control of the Standing Rock Sioux tribe. Nearly the entire route in North Dakota is located immediately adjacent to an existing natural gas pipeline corridor built in 1982. This land has been studied, surveyed and constructed up on at least twice before over the past several decades. Multiple archeological studies conducted with the state historic preservation offices found no culturally significant items or sacred sites along the route under construction. While the project awaits the issuance of an easement from the U.S. Army Corps of Engineers to complete work beneath Lake Oahe, construction continues on the remaining segments of the pipeline. The pipeline will cross 90 to 115 feet below Lake Oahe with double-walled and remote controlled shutoff valves on each side of the crossing. We received the permit from the Corps for the crossing on July 25 of this year, and continue to believe that the U.S. Army Corps of Engineers will soon issue the easement for approximately 500 feet on each side of the lake necessary for the crossing beneath Lake Oahe, the sole remaining authorization necessary for the completion of the project. Recent decisions by the Federal District Court and the U.S. Court of Appeals show that the U.S. Army Corps of Engineers met or exceeded all applicable federal statutes prior to granting the permits to Dakota Access with respect to all river crossings, including the crossing at Lake Oahe. The Army Corps and Dakota Access carefully considered the views of all potentially affected tribes that chose to participate in the consultative process prescribed by Congress and fully complied with both the letter and spirit of the National Historic Preservation Act. Their carefully and sensitive work has been reviewed and approved by highly qualified private and state employed archeologist. Dakota Access' state-of-the-art design will provide a safer and more efficient method of transporting crude oil than the alternatives being used today, mainly truck and rail. This state-of-the-art design includes previously mentioned automated controlled shutoff valves to protect the environment and safety of all those in the area. Water is equally important to each of us. We do not take that importance lightly and therefore we take every precaution to ensure we are providing ultimate safeguards to protect the water itself by meeting or exceeding all federal mandated environmental and safety regulations. In summary, DAPL and the adjoining ETCOP pipeline, which is complete and ready for commissioning, are expected to provide the most economic and safest options for moving Bakken crude to the Midwest and Gulf Coast. We remained confident that we will receive the easement from the Army Corps in a timeframe that will not result in significant delays in proceeding with drilling activities under Lake Oahe. As a result, we continued to expect that commercial operations will commence in the first quarter of 2017. Next, on Bayou Bridge. As previously mentioned, we began commercial operations on the 30-inch segment from Nederland to Lake Charles in April. And for the third quarter, volumes averaged 69,000 barrels per day out of the contracted 80,000 barrels per day currently under take-or-pay agreements. The 24-inch segment of Bayou Bridge from Lake Charles to St. James continues to move forward, with permitting going in as expected and right-of-way acquisition ahead of schedule. We anticipate that deliveries to St. James will commence in the second half of 2017. On Rover, we received the Final Environmental Impact Statement as scheduled on July 29. We expect to receive the FERC Certificate any day now. We have awarded construction contracts on 100% of the pipeline and expect to begin construction towards the end of this year. We continue to anticipate being in service to the Midwest Hub near Defiance, Ohio by the end of June 2017 and to markets in Michigan and Union Gas Dawn Hub by November of 2017. We are currently moving forward with project financing on Rover and expect to have the financing in place in the first quarter of 2017. On the Revolution Project, the pipeline and plant as well as the fractionation facility are expected to be in service in the fourth quarter of 2017. We continue to have discussions with multiple producers and are hopeful to have additional volumes committed to the project soon. Now shifting to Lone Star NGL. Frac IV was placed in to service in October ahead of schedule. We anticipate operating at our total fractionation nameplate capacity at Mont Belvieu of 427,000 barrels per day by the middle of 2017. And on the Lone Star Express NGL pipeline, as a reminder, we placed the 24-inch pipe in service in late-April, and the 30-inch pipe was placed in to service in early-August. And we anticipate increasing those volumes throughout 2017. On our Mexico project, the Trans-Pecos and Comanche Trail pipelines will expand our intrastate pipeline capacity to carry gas from the Permian Basin to Mexico. We have received all necessary permits, including the Presidential Permits. We have commenced construction and remain on track to be in service in the first quarter of 2017, at which time we anticipate we will begin collecting demand fees on the pipelines. Finally, in West Texas, as a reminder, our 200 million a day Orla processing plant in the Delaware Basin went into commercial service May 1. We are currently at full capacity. And the 200 million a day Panther processing plant, which is in the Midland Basin, is still expected to come online by the end of this year. Due to the continued strong demand, we will be building a new 200 million cubic foot per day processing plant in the Delaware Basin. However, we are evaluating the best location for the facility. The Permian Basin continues to be the best multiple pay resource play in the country, and will continue to drive future growth for ETP. Now moving to CapEx. In the first nine months of 2016, ETP invested nearly $2.3 billion in organic growth projects for our proportionate share, with the majority allocated to our Liquids Transportation and Services and Midstream segments. For full year 2016 CapEx, we now expect to spend approximately $2.8 billion of organic growth capital, net of amounts forecasted to be financed at the asset level. This is down approximately $100 million from our forecast on our second quarter call, primarily due to a decrease in our liquids segment as a result of the Lone Star Express coming in under budget and timing on project spin. Over the last couple of years, we have undertaken an extensive CapEx program which will culminate late next year. This significant capital spend is expected to generate incremental EBITDA in 2017 and 2018, providing visibility into future growth, while also helping delever the partnership and strengthening and extending our geographic footprint. During the first nine months of the year, we spent $194 million on direct maintenance capital expenditures. For 2016, we're forecasting maintenance capital expenditures of $275 million to $310 million, which is down $35 million from our previous forecast. For 2017, our preliminary organic growth capital forecast is approximately $1.9 billion, net of amounts expected to be financed at the asset level. Now let's take a look at our liquidity position. As of September 30, 2016, our debt-to-EBITDA ratio was 4.26 times for our credit facility calculation. In September, ETP initiated a commercial paper program under the borrowing limits of its $3.75 billion revolving credit facility. As of September 30, 2016, the outstanding balance of ETP's $3.75 billion credit facility was $1.58 billion, which includes $208 million of commercial paper. Also during the quarter, we issued approximately $320 million under our ATM program, and $64 million of equity under our DRIP program. Taking a look at our funding needs and strategy for our remaining 2016 CapEx, just over $2.3 billion was spent through the first nine months of the year, including ETP's expenditures related to Bakken, Rover and Bayou Bridge, but excluding SXL's proportionate ownership of Bakken and Bayou Bridge, which was $268 million. This leaves us with approximately $500 million of owned balance sheet capital funding needs based on our proportionate GP interest for the remainder of the year. As our major capital projects are completed during the rest of 2016 and throughout 2017, we expect them to contribute incremental cash flow growth. Throughout this major spending cycle, we have not wavered from our primary objective of maintaining our investment grade rating at ETP. Now, I'd like to touch on our recent distribution announcement. In October, we announced a distribution of $1.055 per unit for the third quarter, or $4.22 per common unit on an annualized basis. This was flat compared to our second quarter of 2016 distribution and will be paid on November 14 to unit holders of record as of the close of business on November the 7. Moving on now to ETE, I'll begin with ETE's third quarter results, followed by a liquidity and financing update, and our Lake Charles LNG update. Turning to financial results. Our distributable cash flow as adjusted for the third quarter totaled $281 million compared to $325 million for the third quarter of 2015. The decrease was due to the additional $85 million of IDR subsidy granted to ETP for the third quarter of 2016. ETE's coverage for the third quarter was 1.16 times. Normalized for the $85 million IDR subsidy, DCF would've increased approximately $40 million over the third quarter of 2015, and coverage would've been 1.51 times. As to distributions, ETE announced last month a quarterly distribution of $0.285 per unit. This equates to $1.14 per unit on an annualized basis. It will be paid on November 18 to unit holders of record as of close of business on November the 7. Let's now look at liquidity and financing. ETE continues to have a healthy liquidity position. We ended the quarter with a debt-to-EBITDA ratio of 3.08 times for our credit facility. Without the $85 million IDR subsidy, leverage would've been 2.64 times. As of September 30, 2016, there was $885 million in outstanding borrowings under the credit facility. Therefore the end of Q3 of 2016, the overall ETE standalone debt was $6.4 billion, with a blended interest rate of 4.86%. Now turning to Lake Charles LNG. We continue to work with Shell on the completion of various early works projects. In addition, we remain engaged with the EPC consortia on various value enhancement projects and the engineering studies. Before opening the call up to your questions, I would like to say that our base business continues to demonstrate its ability to manage through challenging commodity markets. We remained focused on the completion of our capital spending program, which will generate future fee-based EBITDA growth, particularly in 2017 and 2018. ETE's priority is to support its core operating subsidiaries and ensure their financial health. We are in a great position for growth and our commercial and operations teams are focused on project execution, new growth in targeted regions, as well as expense management. We continue to place emphasis on maintaining a strong balance sheet by lowering our leverage, while also increasing coverage and liquidity. With that operator, that concludes our prepared remarks. Please open the line up for questions.
Operator: At this time, we will be conducting a question-and-answer session. Our first question comes from the line of Jeremy Tonet with JPMorgan. Please proceed with your question.
Jeremy B. Tonet - JPMorgan Securities LLC: Good morning.
Thomas E. Long - Energy Transfer Partners LP: Good morning.
Jeremy B. Tonet - JPMorgan Securities LLC: Post the election, there seems to be the potential for a significant policy shift with regards to NG infrastructure development in the U.S. While it's early days, could you provide any thoughts on the impact for ETP, the industry and DAPL? Anything you can share.
Kelcy L. Warren - Energy Transfer Partners LP: Well, this is Kelcy. It's only going to get better. I mean, for us to preach that we support infrastructure development and then yet do everything we can to block it, that doesn't feel very good to me. But I think that's going to change.
Jeremy B. Tonet - JPMorgan Securities LLC: Got you. Thanks. And then just want to touch on volumes across the systems. We saw some softness in East Texas and in Haynesville and I'm just wondering if any of the property changes around there is part of the people selling stuff. If that could be helpful for volumes for you guys? And also in the Permian after Orla, do you see room for a further expansion there? Is that – could you talk to the competitive dynamics there?
Marshall S. McCrea - Energy Transfer Partners LP: Hey, you bet. This is Mackie. I guess I'll kind of cover the country quickly. In north Louisiana, as Tom mentioned, we're very excited about that acquisition. We think that's some of the best rock as well as Range and others in the country and we are excited about what we believe will happen in 2017 and beyond on volume growth there. In West Texas, I think everybody understands how prolific all of those horizons are. It will remain a big focus for our midstream group and we do, likewise to north Louisiana, anticipate significant volume growth both on the natural gas side and also on the oil side. We do see weakness and continue to see weakness in the Mid-Continent and just kind of flat volumes, not really a big declines, but certainly not a lot of growth other than Central Oklahoma, where we do believe there will be growth and fairly significant growth. And then in the northeast, the issues are pricing for our Pennsylvania assets and then, Eastern Ohio, it's also pricing and bottle necks. So, once Rover comes online in the Ohio and once Atlantic Sunrise and PennEast come online in Pennsylvania, it's going to open things up and our volumes will increase fairly dramatically. But in the meantime, it's just tough to get gas out when there isn't infrastructure completed. And then I guess, lastly, in South Texas, we are seeing slight declines. However, we're battling to keep volumes on and also to pull volumes from others. And so, we remain optimistic about keeping low volumes relatively flat. And as process return, we expect volumes to grow there too.
Jeremy B. Tonet - JPMorgan Securities LLC: That's helpful. That's it for me. Thanks.
Operator: Our next question comes from the line of Shneur Gershuni with UBS. Please state your question.
Shneur Z. Gershuni - UBS Securities LLC: Hi. Good morning, guys. A couple of questions. One, I was wondering if we can start with cost of capital. You recently completed the PennTex acquisition with some equity. And obviously, it looks like a very promising opportunity. But at the same time, your cost of capital quarter kind of dilutes some of the positive impact with respect to that. Have you been looking at more closely? I know that you sort of discussed it on your second quarter call, it's something down the road. But, have you started to look at potentially a rollup of ETP and ETE or IDR buy-ins and so forth? On our math, it's probably about $600 million in cash flow savings with the cost of equity reset. And when you look at kind of the responses from investors with respect to some of the comments from some of your peers with respect to that, it seems to have been rewarded in the marketplace. Just wondering if you can sort of comment about your thoughts about cost of capital going forward?
Kelcy L. Warren - Energy Transfer Partners LP: Yeah. Shneur, this is Kelcy. Absolutely. We did mention that in the last quarter. It's something that we are giving a great deal of attention towards. It's something we can't hide from. It's real. And we will address it in a matter that, we believe, is best for our unitholders at the appropriate time. So, I'm sorry. That sounds like a non answer but, I think, you can read between the lines there a little bit. This is heavy on our mind these days and we're looking at options.
Shneur Z. Gershuni - UBS Securities LLC: Okay, no. Fair enough. Secondly, with respect to DAPL, there was some noise out this week with respect to the credit facility there. I was wondering if you can talk about – I think when you first filed it, it was officially stated as non-recourse. Are there conditions that turn it into recourse at some point in time? And there sort of seems to be some ambiguity in sort of the commentary there. But it seems that as long as you have all the permits in place, then you've satisfied the conditions. Does the fact that you're doing a voluntary pause mean that you haven't completed the permit condition or you've received the permit and the pause is effectively your choice and it's still there for you, but you still satisfy the conditions to be able to pull everything?
Thomas E. Long - Energy Transfer Partners LP: Yeah. Shneur, this is Tom Long. Let me just start with the way this was set up. It was set up, of course, to $2.5 billion financing. I think, as I previously mentioned, there was $1.1 billion that we had access to, which we have drawn. With the other $1.4 billion, that is condition upon receiving the final easement. I won't call it permit, I'll just call it easement. So, I think that's the way you should look at it. As far as the $1.1 billion, yes, I guess, the partners in this agreement did put up a guarantee on that first $1.1 billion until that easement is obtained. But there's really no other restrictions to that. It's pretty clean.
Shneur Z. Gershuni - UBS Securities LLC: Okay. And finally an operational question and it really goes back to PennTex. This looks like a very exciting transaction, especially when I sort of look at a map and I look at some of the other assets that you've acquired, I think it was from DCP, earlier this year. Is there kind of a significant operating leverage opportunity by connecting some of these assets. Is there a CapEx avoidance by having them together and so forth? I was wondering if you can sort of talk to the strategic nature of how this fits into the Energy Transfer fold?
Marshall S. McCrea - Energy Transfer Partners LP: Shneur, your description of very exciting says it perfectly. We're unbelievably well positioned to maximize on any opportunities there, from the wellhead all the way to gathering, processing, intrastate, interstate and even have liquid capacity all the way to deliver the barrels to Mont Belvieu. So we couldn't be more excited. We also had the benefit of – we have capacity now that we can move between these facilities, between our facilities, the DCP, newly acquired and now PennTex, to optimize and to run north Louisiana as efficiently as possible and as profitably as possible, both for ETP and for PennTex. So, there certainly are significant savings right off the bat, off the top and then we will run these as efficient as possible and it will give us time to also build additional processing capacity when that becomes necessary in the near future.
Shneur Z. Gershuni - UBS Securities LLC: Great. Thank you very much. Really appreciate the color, guys.
Operator: Our next question comes from the line of Helen Ryoo with Barclays Capital. Please state your question.
Heejung Ryoo - Barclays Capital, Inc.: Good morning. A couple of questions. A follow-up on the comment on the easement. So, just to be clear, once you have the easement that allows you to drill below the lake, and also that easement allows you to use the term loan above that $1.1 billion threshold, and then, lastly it satisfies the closing condition for the stake sale. Is that the right way to think about it?
Matthew S. Ramsey - Energy Transfer Partners LP: Yeah. Helen, this is Matt Ramsey. That's correct. With regard to the final easement, there is the Corps of Engineers, the federal government owns a buffer of about 500 feet, it's actually 1,090 feet I think is the actual distance. But it's 500 feet on each side of the lake, and the only thing lacking there is the easement from the Corps of Engineers, which is what is being held up. We already have the permits from the State of North Dakota, which owns the river bottoms, which permits us to drill beneath the lake. So, those are already in place. So, the only thing holding us up here is the easement from the Corps, and as soon as we have that, then, we're able to set up our hydraulic drilling tool and drill under the lake at that point in time. And I'll turn it back to Tom if that satisfies you and let him answer the question with regard to the financing.
Thomas E. Long - Energy Transfer Partners LP: Yeah. And Helen, that's exactly right what you said. In other words, as soon as the easement is – as soon as we receive the easement, the other $1.4 billion becomes available to us to draw, as well as the guarantee is lifted off the $1.1 billion. So...
Heejung Ryoo - Barclays Capital, Inc.: And then it also satisfies the closing condition for the stake sale?
Thomas E. Long - Energy Transfer Partners LP: Yes.
Heejung Ryoo - Barclays Capital, Inc.: Yes. Okay. Great. Thank you. And then just the comment around the West Texas, so there was a basis widening in Texas. And is that something you see sustainable? I've heard that there were a certain pipe outage that led to a blowout of the basis soon after Q3 closed. But, currently do you see a widened basis sustainable? And once the Comanche Trail project starts and send gas to Mexico, how would that affect the basis going forward?
Matthew S. Ramsey - Energy Transfer Partners LP: Helen, this is Matthew again. It's impossible to predict where the basis is going. However, there's not a company in the industry that's better situated to take advantage of that basis and to benefit from it. It isn't just some outages. There's also a lot of other things going on at different times of the year. There is stronger demand at Katy and we're going to see that more and more. And then to your point, there's also going to be different times of the year when there's going to be tremendous draw out of Waha. So, we do believe that the basis will continue to widen, but we also believe it will seasonally flip, and it will be just as wide or wider going the other way. So, we're pretty excited about how well positioned we are and the amount of capacity we have to move gas across the state of Texas in both directions.
Heejung Ryoo - Barclays Capital, Inc.: Okay. Great. And then lastly, the $1.9 billion of organic CapEx next year, does that include – does that assume the Delaware, the second – the next Delaware plant coming online during next year and also the Lone Star crude pipeline, is that also fully in that number for next year in service?
Thomas E. Long - Energy Transfer Partners LP: Helen, the first one was the second. The second is not. So, that's what's included in the $1.9 billion.
Heejung Ryoo - Barclays Capital, Inc.: Okay. So, Lone Star crude, it's not fully included in $1.9 billion, correct?
Thomas E. Long - Energy Transfer Partners LP: No – that's correct. It's not included.
Heejung Ryoo - Barclays Capital, Inc.: Got it. All right. Thank you very much.
Operator: Our next question comes from the line of Brian Zarahn with Mizuho Securities. Please state your question.
Brian Zarahn - Mizuho Securities USA, Inc.: Good morning. On DAPL, can you give us a little more color on when you expect a decision on the easement to take place? And any update on the volume commitments on the line?
Matthew S. Ramsey - Energy Transfer Partners LP: Brian, this is Matt Ramsey. We expect a decision out of the agencies at any time now. They wrote us a letter, as you all fully see on September 9. They told us that and said in the letter that they would expeditiously get through this process. It's now been probably 65, 70 days that we've been in this process. They're not requiring any additional information out of us. We're in constant communication with them, and we feel like the decision is imminent but we're waiting as anxiously as you are. With regard to volumes, Mackie, you want to talk about volumes on that?
Marshall S. McCrea - Energy Transfer Partners LP: Sure. Well, Lee Hanse and his group continue to chase volumes. Of course, with the uncertainty right now, a little bit on the timing, that may have slowed things down a little bit. But we are confident that as the project is completed, that we will contract up to complete capacity of 570,000 barrels a day. So, I don't know if you want to add anything.
Lee Hanse - Energy Transfer Partners LP: Yeah. No change as far as the volume is concerned. It is all T&D or demand charge volume, and it is subscribed over and above the 450,000 barrels a day that we've disclosed, but we continue to pursue incremental volume.
Marshall S. McCrea - Energy Transfer Partners LP: That was Lee Hanse.
Brian Zarahn - Mizuho Securities USA, Inc.: And then shifting over to Rover. It seems like things are still on track. But can you give maybe your view on the Dawn Hub and the competition there, and does that impact Rover at all?
Marshall S. McCrea - Energy Transfer Partners LP: Well, this is Mackie again. As you said, there are no changes. We do expect to have Rover flowing by July of next year, the first phase and second phase by November. We don't really – we're not buying and we don't own the capacity or the molecules at Dawn. So, we don't watch that real closely on what the impact as far as from the Canadian activities. That's more of a kind of a concern or, I guess, an issue with our shippers. But we are excited to be able to have the opportunity to offer not only deliveries to Dawn, but also to Vector which can go West Chicago or into our trunk line system which can go either way, North Michigan or South to the Gulf Coast. So, we do have the capability of a lot of optionality for our shippers. But the demand charge from our shippers, wherever they've taken it now, whether it's to Dawn or South, those were set for 10- year, 15-year contracts and pricing at the end of those were more kind of, I guess, concerns for our customers.
Brian Zarahn - Mizuho Securities USA, Inc.: Thank you.
Operator: Our next question comes from the line of Kristina Kazarian with Deutsche Bank. Please state your question.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Hey, guys.
Marshall S. McCrea - Energy Transfer Partners LP: Good morning.
Kristina Kazarian - Deutsche Bank Securities, Inc.: And on the topic of Rover this morning, it sounds like we are going to have the final certificate shortly. So, good update there. But can you also talk about how you feel about shippers and particularly their ability to meet commitment maybe focusing on the SUN and any color you guys have there?
Marshall S. McCrea - Energy Transfer Partners LP: You bet. That's kind of been a topic around Rover now for some time and we were very pleased to see what came out just a little while ago from Ascent. John Raymond has run a great organization there and he had kind of given us an indication that some good things were happening and they were about to kind of restructure their balance sheet and sure enough they came out with an incredible press release today about a huge equity raise. So, they've kind of repositioned themselves from a financial capability of drilling back and to a large degree. It's very clear that our acreage and the rocks and reserves were there to produce the volumes that they anticipate. They just need the financing and now they've shored that up. So, very exciting about their press release today.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Perfect. Thanks for mentioning that one. And can we also talk about, follow-up in terms of timing on the agencies or any other one off, sign offs that I need?
Marshall S. McCrea - Energy Transfer Partners LP: On Rover?
Kristina Kazarian - Deutsche Bank Securities, Inc.: Yeah. I'm sticking on Rover today.
Marshall S. McCrea - Energy Transfer Partners LP: I mean once we receive our FERC certificate, we'll proceed with the construction of the projects. There also are some state permits that we're still working on, but we expect to have those anytime also. So, we...
Kristina Kazarian - Deutsche Bank Securities, Inc.: So, it sounds like construction timeframe really achievable. How I just put those two things you just told me together?
Marshall S. McCrea - Energy Transfer Partners LP: Yes. We haven't changed one thing. We're very optimistic that we'll start the significant portion of our construction in February or March, and we'll be flowing gas by July of 2017 through Defiance.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Perfect. And then last one from me. Tom, I know you alluded to this earlier in one of the question, but on the new calendar year 2017 guidance of growth CapEx of $1.9 billion, can you just give me the breakdowns in terms of the major bucket that it goes towards?
Thomas E. Long - Energy Transfer Partners LP: Yeah. You bet. Let me look. Kristina, I'm not sure if I have that in my fingertips here right now, again. Let me glance here real quick. Hang on one second. Clearly, the majority of it is in Midstream like what we've – kind of like what we've been announcing as far as a lot of the growth areas. You're probably – when you look at it, you're probably a little over $1 billion just in the Midstream alone of it. $1 billion, $1.1 billion, to a lesser extent the liquids, the crude oil, you're probably yet another, let's say, $200 millionish or so. Interstate, you're probably, little less than $500 million, let's call it, $475 million or so. And as far as the rest of it, it's just kind of split between Intrastate and other. So, kind of rounded up. But I'd say, that's the way it's kind of rolling off.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Perfect. Thanks, guys, and congrats again on the Ascent announcement as well.
Marshall S. McCrea - Energy Transfer Partners LP: Thank you.
Thomas E. Long - Energy Transfer Partners LP: Thank you.
Operator: Our next question comes from the line of Michael Blum with Wells Fargo Securities. Please state your question.
Michael Blum - Wells Fargo Securities LLC: Hey. Good morning, everyone. Two from me. One more on Rover. It sounds like you're going to get the FERC certificate soon, but just wondering when is the latest that you can get the FERC certificate and still stay on your time line there or in service?
Marshall S. McCrea - Energy Transfer Partners LP: I don't know if I have an exact answer to that question, Michael, because we're so optimistic we're going to have – it doesn't concern us, but we certainly would be – it'd be very concerning if we didn't have it by sometime in the middle of the first quarter of next year.
Michael Blum - Wells Fargo Securities LLC: Okay. Great. That's helpful. And then second question just on this PennTex deal. Can you just talk maybe on a high level what was your strategic rationale for doing this deal? And how do you see this playing out in the future?
Marshall S. McCrea - Energy Transfer Partners LP: Well, as we mentioned, the strategic rationale is to create as much possible value for our unit-holders as we can, and those assets fit perfectly in kind of what we already own. We already own a large 42-inch intrastate pipeline through that area. We already owned miles and miles of gathering numerous plants. We've just acquired DCP. So, the fit from an operational perspective, the fit from the ability to provide services to all the drilling in that area better than any of our competitors and the ability to provide, as I mentioned earlier, from the wellhead all the way to the burner tip, all the way to the tailgate of a fractionator, and even exporting the product if that's what the customer desires. In addition to that, as we mentioned earlier, there are significant savings both from a G&A perspective and also from operations perspective. And lastly, as Matt is leaning on my shoulder here, and importantly is it comes with a significant acreage dedication for – as we mentioned earlier, from the best rock in the country, there's hundreds of thousands of acreage came with that acquisition that's dedicated through at least 2030. So, it's a very exciting acquisition and we couldn't be more pleased to have closed on it and move forward on growing it.
Michael Blum - Wells Fargo Securities LLC: Great. Thank you.
Operator: Our next question comes from the line of Brandon Blossman with Tudor, Pickering, Holt. Please state your question.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning, everyone.
Marshall S. McCrea - Energy Transfer Partners LP: Good morning.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: I hate to do this, but it circled back in Rover real quick. The project financing, should we kind of think about that in terms of looking a lot like the DAPL project financing or will it be a slightly different animal?
Thomas E. Long - Energy Transfer Partners LP: It will be a slightly different animal. I think you can see us more going into the institutional market versus bank market for this one or the current plans. So, in other words, more in the Term Loan B market versus A market.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. That sounds like a positive. What factors would drive you from Loan B versus bank market?
Thomas E. Long - Energy Transfer Partners LP: What would drive us toward a Term Loan B you're saying?
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Yeah, what's different about Rover versus DAPL that has you thinking in a different direction?
Thomas E. Long - Energy Transfer Partners LP: Well, I think as we've kind of talked to our financial advisors and we look at the market where we think we can get the good pricing to try to go into the bank market just kind of based upon this pipe, shippers, et cetera, we felt like that the institutional market is the best where we can get probably the largest amount and get the longest term.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay.
Thomas E. Long - Energy Transfer Partners LP: So, term is another big component of it, so...
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Yes. Okay. That's good. We haven't talked about Revolution much recently. Any updates on that project?
Marshall S. McCrea - Energy Transfer Partners LP: No updates as far as timing. We expect it to be operational no later than November of next year. We also don't have any changes on new customers, but we are working hard and anticipate, hopefully make some announcement soon on adding not only additional customers, but also possible need for a second cryo. So, we continue to work hard in a very difficult area and are optimistic that we'll have new customers soon.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: All right. Well, that's intriguing. And then just very quick, on the DAPL lake crossing. What's the timeline or when does the lake crossing become a critical task? How long will that actually take from start to finish?
Matthew S. Ramsey - Energy Transfer Partners LP: Brandon, this is Matt Ramsey. I think the drill process itself is about 90 to 120 days from the time we start. That, of course, depends upon weather. It also depends upon just drilling conditions themselves, but that's about the timeline that we would expect.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Thank you very much, Matt. Thank you, everybody.
Matthew S. Ramsey - Energy Transfer Partners LP: You're welcome.
Thomas E. Long - Energy Transfer Partners LP: Thank you.
Operator: Your next question comes from the line of Darren Horowitz with Raymond James. Please proceed with your question.
Darren C. Horowitz - Raymond James & Associates, Inc.: Good morning, guys. A couple of quick ones for me. The first on PennTex. How do you think about PennTex as a financing currency either with regard to joint venture opportunities with ETP or possibly even dropdowns from ETP to PennTex given the cost of capital variance?
Thomas E. Long - Energy Transfer Partners LP: Darren, we – as you know, you've been a friend of ours for a long time. We certainly are trying to add complexity, but we've found these assets to be so intriguing, so complementary. It's rare that you can find assets that fit you so well that you can do what path owners (52:55) do and cause more distributable cash flow to occur. We're really not approaching this from a, I would say, necessarily a cost-of-capital perspective, but rather just good fundamental hydraulics at this time. Now, we wouldn't – that's something we would not ignore and take advantage of the market, as the market suggests we should. But that was not the driving factor behind acquiring control of PennTex, but rather the hydraulic complement it gave to Energy Transfer.
Darren C. Horowitz - Raymond James & Associates, Inc.: Yeah. That makes sense. And, Kelcy, my follow-up, if I could. Shifting over to export of gas to Mexico, with regard to what you guys are doing with Trans-Pecos and Comanche, how do you see a lot of either the associated gas or residue gas coming out of the back of processing plant backstopping more volume opportunity for you guys to take the path of least resistance and move gas to the border? I'm more specifically wondering how you see your Intrastate business from a capacity utilization or volume perspective picking up year-over-year?
Kelcy L. Warren - Energy Transfer Partners LP: Yeah. And I'd like to, for Mackie, to add on to this. But let me just take a stab at that. I'm going to echo what Mackie said that we couldn't be more excited. When we get Trans-Pecos and Comanche Trails online and begin to ramp those volumes up, going back to an earlier question about basis, we don't know what it's going to do, but it's going to do something. It's going to swing one way or the other, and we benefit from that. So, we're really excited about it. You can't take – you can't put a straw in Texas and pull out a billion-and-a-half cubic feet per day and not disrupt the hydraulics of the market, consequently basis. You can't do it. It's impossible. So, I am really excited to see the results of this. That coupled with increased demand along the Gulf Coast that we're seeing, it looks like – as you know, it's been a long time since we've had double-digit basis in Texas, a long time. And I believe that we're coming back into a period where it will be pretty steady in the double-digit plus. Mackie, what are your thoughts?
Marshall S. McCrea - Energy Transfer Partners LP: I agree and I would just add that if you look at our position, if you're a buyer of CFE or other buyers at the Waha Hub, which is, by the way, a 6 Bfc hub, probably the largest in the United States once it's complete. And you say, okay, we'd like to pick – buy gas in San Juan or Barnett Shale or the Panhandle Texas or Carthage or Katy depending on where the most attractive prices are for those buyers. There's only one company that can offer transportation from all those areas through either our interstate or intrastate network. So, as Kelcy just said, it's pretty exciting. We're well positioned and we're looking forward to taking advantage of the basis when it does spread out.
Darren C. Horowitz - Raymond James & Associates, Inc.: Thank you.
Thomas E. Long - Energy Transfer Partners LP: Thank you.
Operator: Our next question comes from the line of Ross Payne with Wells Fargo. Please state your question.
Ross Payne - Wells Fargo Securities LLC: ...so much. Kelcy or Mackie, thank you for your comments on Rover. Two quick questions. Do you see any impact from TransCanada's lowering their tariffs to East Canada? And second of all and, perhaps, more importantly, Apache has a huge find in Southwest Permian. How well positioned do you guys think you might be to help them develop that from a structural standpoint? Thanks.
Kelcy L. Warren - Energy Transfer Partners LP: I'll start in the northeast. As I mentioned, certainly, if you're a owner of molecules (56:47), you're trying to receive as high value as possible and if it does affect the price at Dawn Hub, that will be more impacted to our customers, our shippers. Our contracts are from point A to point B with the demand charge and our long-term agreements. So, we're not exposed to that risk. But what we do have the opportunity, as I mentioned earlier, is to provide a lot of flexibility to these shippers to go maybe even in other areas on a secondary basis if there's better market options for them. As far as Apache, if I just continue to talk about how great that is for them and it's great for us too, once again, we're as well positioned as anybody to handle that both from an Intrastate perspective, from a gathering perspective and to bring it into kind of our super gathering and processing network. So, we're certainly in discussions with them as probably everybody is, and are optimistic that we'll capture some of that business.
Ross Payne - Wells Fargo Securities LLC: Great. Thanks, guys.
Kelcy L. Warren - Energy Transfer Partners LP: Thank you.
Operator: Our next question comes from the line of Tom Abrams with Morgan Stanley. Please state your question.
Tom Abrams - Morgan Stanley & Co. LLC: Thank you. Three questions. One is, I think it's a noncash – mostly noncash, this impairment of investment in non-consolidated affiliates, $300 million, I believe it has to do with some contract rollovers' anticipated revenues. Is that true, a? And b is, does it have any implications for other legacy pipes in your system through, say, 2017? Is that something that's going to be happening as we go forward?
Thomas E. Long - Energy Transfer Partners LP: Yes. It is noncash. I'll answer the first part of that for sure. As you know, that's a 50/50 joint venture with Kinder Morgan. That was MEP, is what it was. As far as any other implications, no, it doesn't really have any other implications as far as the others. As you know, the process, you go through on any of those valuations, you look at each asset or package of assets. But I wouldn't – this one was looked at separately as MEP as a joint venture. No implications as to what work you would do looking at any others, so...
Tom Abrams - Morgan Stanley & Co. LLC: Okay. It came very early I thought. The second question is PES. It looked like in your – the affiliate investments was quite negative. And I recall that you wanted to do something with that strategically. I believe that also was non-cash. But what's the thought process around that investment right now?
Thomas E. Long - Energy Transfer Partners LP: Yeah. As you know that's a joint venture we have. We're at 32%. ETP is a 32.5% owner in that refinery, Philadelphia Energy Solutions is the refiner. And I think, you can probably appreciate with where things are right now. At one point, we were evaluating whether to do some type of an IPO or something else like that. But with where we are right now, we're just going to continue to work with our partner on that and look for strategic alternatives. But, I think, that's the most I can probably really say right now. But, yeah, there was quite a bit of swing from the third quarter of last year to the third quarter of this year. But, I guess, I would like to say is even as you look out at the fourth quarter, I know I'd mentioned this earlier, but as far as crack spreads, we have seen those improve a bit. But if you try to compare that to even the fourth quarter of last year, you'll see that it had already fallen off kind of in the fourth quarter of 2015. So, anyway, I think that's the most comment we really have on PES.
Tom Abrams - Morgan Stanley & Co. LLC: All right, that's fair. And then lastly, the fact that you're not bound as a backup to DAPL, the fact that you are not voluntarily holding construction, is that a legal pivot if somebody steps in and makes a political move to even though you get an easement, makes a political move to stop construction anyway? Does that give you some ability to appeal that or to sue somebody or to run counter to that legally?
Thomas E. Long - Energy Transfer Partners LP: And, Matt, I'm not sure I understand the question.
Matthew S. Ramsey - Energy Transfer Partners LP: I'm the same way. I'm not really sure I understand the first part of your question. If you're asking if we've stopped construction, we have not stopped construction.
Tom Abrams - Morgan Stanley & Co. LLC: All right. Maybe I'll follow-up with this. It's really trying to get the definition of the word voluntary or non-voluntary, and if that matters in certain circumstances, should the project be held up by extra legal ways?
Matthew S. Ramsey - Energy Transfer Partners LP: Well, let me try to do the best to answer the question I can hear, and then I'm more than happy to follow up with you, Tom, and also have Tom Mason, our General Counsel, to follow up with you. But with regard to North Dakota, we're continuing to build, and we're just about buttoned up in terms of finishing having the pipe in the ground and doing everything with the exception of doing the drill under Lake Oahe. And we can't do that drill until we get the permit from the Fed. So, that's really where we are. So, there is no other really construction to do in North Dakota. Now, we are continuing to construct in other parts in other states, such as Iowa, and all that continues. So, we're not under any legal obligation whatsoever in terms of injunction or anything like that nor have we voluntarily agreed to stop construction. I think probably what you're referring to was a couple of days ago the Corps of Engineers in an interview with Bloomberg, said that that they had asked us to voluntarily – that we had agreed to voluntarily stop construction. That was not true. And the Corps of Engineers came out later and asked the Bloomberg reporter to correct that statement. Whether or not they have been replacing our statement since then, we're continuing with all activities that we can under the permits that we have at this point. So maybe that answers your question.
Tom Abrams - Morgan Stanley & Co. LLC: Yeah. It's more of a scenario question. If you get the easements and then something else happens to hold you up in an extra legal way, what response do you have? What choices do you have depending on the words that have been used around your activities? It's really a nuanced question. Let's take it offline.
Matthew S. Ramsey - Energy Transfer Partners LP: Okay. Perfect.
Operator: Our last question comes from the line of John Edwards with Credit Suisse. Please proceed with your question.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yeah. Good morning, everybody. Thanks for taking my question. Just if we could just kind of circle back to PTXP just a bit, just sort of kind of the longer-term plans there. I mean, is it ultimately to roll it up into ETP or help me think about that?
Matthew S. Ramsey - Energy Transfer Partners LP: Yeah. John, that would be – there's no immediate plans to do that, but that seems to be kind of where our head is. We're not trying to add additional MLPs around here that we manage, but rather that for us to access these assets that are so incredibly complementary to us, they existed in another publicly-traded MLP and we respect that structure. Presently, they're an independent MLP that has an independent board and in a way they are a competitor. I don't see that structure being appealing to us long term.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. That's helpful. And then, just, Kelcy, is there a fair amount of additional investment opportunity associated with PTXP, anything you can share there?
Kelcy L. Warren - Energy Transfer Partners LP: Yeah. I'd ask Matthew to help me here too. John, these are the – sometimes this business gets unfun to me, and it's things like PennTex that have reminded me of how much fun the business is because it just stimulates your brain on the way that you can provide a service and just do it more efficiently. Like Matthew said, you can recover more liquids. You can have more residue gas into, as you know, an amazing amount of takeaway capacity we have with a lot of optionality. You can control capacity to Mont Belvieu. You can export liquids out of the country. You can do – there's just so much that can be done here that PennTex independently from us would have relied on others to provide those services. But with us, we can do it all in the family. Mackie, would you?
Marshall S. McCrea - Energy Transfer Partners LP: That's well said.
Kelcy L. Warren - Energy Transfer Partners LP: Thank you, Mackie.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Just, Kelcy, last one from me. I mean, in view of the surprise election results, you'd expressed last quarter is somewhat bearish view outlook on commodity prices and such. Can you update us on your thoughts on natural gas, natural gas liquids and crude prices, just what are you thinking now?
Kelcy L. Warren - Energy Transfer Partners LP: John, I'm stunned by the events of yesterday, and that's not to get in the politics with anybody, I just didn't see this coming. And so, we find ourselves, I believe in a really good position, other than Donald Trump has been very pro, put the coalminers back to work and – let's face it. The natural gas industry has benefited from a policy of putting them out of work. So, there's some things that aren't great, I guess, for the natural gas side of things possibly. But I think, overall, having a government that actually backs up what they say that actually says, we're going to support infrastructure, we're going to support job creation, we're going to support growth in America, and then actually does it. My God, this is going to be refreshing. So, I think, overall, I'm very, very enthusiastic about what's going to happen with our country, very enthusiastic and as it supports our industry. Now, going to the commodity prices. Getting a straw out of the Bakken, which reduces the cost, people forget that. It's costing these people $12, $13 a barrel or so to move it to the Gulf Coast and they're going to be able to move it for half that. That's going to stimulate drilling. That's a good thing. That's a really good thing. And so, we're going to have more jobs. We're going to have more wells drilled in the Bakken. We're going to have – man, what's going on in the Permian is just really exciting. I'm not so sure where commodity prices might be going with oil, but it does appear to me that they are hanging around an area where they might actually work and people drill wells. So, that's good. And then, of course, as you know, with the natural gas sector, we got more volume that we can possibly move. We're lacking infrastructure there. And then, with our NGL business and our crude oil transport business, they're healthy. They're finding opportunities at every step. So, we're really, really enthusiastic about our future.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. Great. That's great. Thank you. That's it for me. Thanks.
Kelcy L. Warren - Energy Transfer Partners LP: Thanks, John.
Operator: Ladies and gentlemen, that does conclude our question-and-answer session. At this time, I would like to turn it back to Mr. Tom Long for closing remarks.
Thomas E. Long - Energy Transfer Partners LP: Thank you, operator. And once again, thank you for joining us today. As we've discussed, we are obviously very excited about all the projects we have coming on line, as well as the new opportunities that we're seeing. I thank all of you for your support, and we obviously look forward to talking to you in the future.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.